Operator:  Welcome everyone to the Live Nation second quarter 2008 earnings conference call. (Operator Instructions) Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to Live Nation's SEC filings for a description of risks and uncertainties that can impact the actual results. Live Nation will also refer to some nonGAAP measures in this call. In accordance with SEC Regulation G, Live Nation has provided a full reconciliation for the most comparable GAAP measure in the earnings release on their website. The release reconciliation and other financial or statistical information to be discussed on this call can be found on livenation.com under the "About Us" section. It is now my pleasure to turn the call over to Michael Rapino, Chief Executive Officer.
Michael Rapino: On today's call I'll provide a summary of Live Nation's strategic and financial progress. Kathy Willard, our CFO, will then take you through the financials. First and foremost, we are pleased to report that live music remains healthy, particularly given the continued economic slowdown that has impacted so many consumer-oriented businesses. As expected, concert attendance and program revenue had held up very well; and the pace of ticket sales remains robust in the current quarter. During the quarter, our performance supports this. We produced over 5,800 concerts during the second quarter compared to approximately 4,100 last year, representing a 42 percent increase. Live Nation's total attendance at these events increased 14% yearoveryear to 13.7 million, and our total revenue per fan attending these concerts increased 6% over prior year. During the second quarter, we continued to execute on our strategic priorities. Number one, growing revenue and adjusted operating income in our core distribution platform; two, investing in and developing our online ticketing platform ahead of our 2009 launch; and three, strengthening our balance sheet through additional sales of noncore businesses. On the last point, as we have stated in the past, we are not in a position to disclose the status of our potential motor sports sales. I will confirm, however, the sale process started several months ago; and we are continuing to evaluate our options. Live Nation's mission is to maximize revenue generated by live concert experience. Our business model is driven by monetizing our global distribution pipe serving three clients, artists, fans, and sponsors. Our distribution pipe has two levers, acquiring, producing artists' rights at the right economic price and, two, optimizing and expanding our pipe. We will soon add a third lever, ticketing online ecommerce retailing. I will take you through a summary of our first lever, artist live right acquisition. Our North American concert season has been very strong to date. Five of the top ten grossing tours through June were Live Nation tours, including Van Halen, Jay-Z/Mary J. Blige tour. We have a substantial summer season this far and remain confident in our upcoming concert schedule. During the quarter, we continued to execute on our strategy to fill our distribution pipe with the right artists at the right economic price, locking in revenue streams over the near and long term. We transitioned from a single promoter business with approximately 1,000 artists and one right, the concert right, into an organization that has resources to attract, on average, two rights from over 1,200 artists. We expect our share of the artists' rights to continue to grow in the live music space. The healthy place of ticket sales that we saw in the first half has continued into the important third quarter, and our concert lineup is solid for the remainder of the year. Madonna's "Sticky & Sweet" tour starts August 23 in Europe, and the tour comes to North America in October. Ticket sales for Madonna's concerts have been exceptionally strong. As of early August, her tour has now surpassed 1.3 million tickets sold, very impressive sales to date. We continue to believe this tour will be Madonna's biggest ever, with the potential of grossing over $240 million in total revenues. In addition to Madonna, Coldplay's tour is on sale; and the summer dates are 90% sold out and will continue into the fall. We also have great tours by New Kids on the Block, the Jonas Brothers, Journey, John Mayer, and Rascal Flatts. We recently added Nickelback and Shakira to longterm rights deals. They join a roster that already includes Madonna, Jay-Z, and U2. Under the Nickelback partnership, we secured 11 separate artist rights to feed our global distribution platform, including touring, touring sponsorship, tour merchandise, tour VIP travel packages, secondary tickets, recorded music, clothing, licensing, and other retail merchandise, nontour sponsorship endorsements, DVD, broadcast rights, fan club, web rights. We currently expect our approximately tenyear, threecycle agreement with Nickelback to generate over $700 million in revenue and over $60 million in operating income, representing a margin of 9% and IRR of 32. Our partnership with Shakira spans ten artist rights, including touring, tour merchandise, secondary tickets, recorded music, licensing, retail merchandise, nontour sponsorship endorsements, DVD and broadcast, fan club, website. We currently expect our tenyear deal with Shakira to generate over $800 million in revenue and over $110 million in operating income, representing a margin of 13% and an IRR of 14. These deals put us on track in meeting our goals of signing a total of four to six major artists to a longterm, multiplerights deal in 2008. We believe that all these deals improve upon our longterm visibility and cash flow growth, potentially by allowing us to lock in multiple revenue streams, higher margin revenue with reduced risks. On average, each of these longterm deals has ten artist rights. Now that we have the pipe full, our focus is on optimizing the second lever, our distribution pipe. We have a broad global presence that consists of over 94 outlets around the world. We continue to strategically review our distribution platform, seeking expansion opportunities as well as potential areas to contract in order to optimize our asset base. We will grow our revenue in the pipe by executing on five strategies. Our first is our continued expansion of our platform. In this quarter, we solidified our leadership position in Sweden by acquiring remaining interests in Luger and Moondog Entertainment, which adds significant promotion and festival experience to Live Nation Sweden. We expanded our global festival footprint to 30, as we acquired a controlling interest in Main Square Festival in France. We also successfully launched Pemberton, a Europeanstyle, threeday festival outside of Vancouver, headlined by Coldplay, Tom Petty, and Jay-Z with a firstyear success of 40,000 people, incredible for its first year. We've also been very successful in increasing show and ticket sales. We produced 42% more shows in the second quarter, and our total attendance increased by 14% in the second quarter versus last year. Our third strategy for growth in our pipe is delivering improved operating income and has been our focus on reducing operating costs and increasing operating efficiency. We have reduced our perhead operating cost in our amphitheaters by 2% this past quarter versus last year. We've also reduced our marketing cost by continuing to optimize our marketing strategy and shift all our traditional media channels to online, which provides a more efficient reach. Our customer database has grown to over 25 million unique music fans, and we remain dedicated to using our database and portfolio online services to reach marketing consumers more effectively. Our fourth strategy is increasing our invenue revenues. Overall, ancillary revenues per fan at our amphitheaters are pacing ahead of last year at 17.46 per head. We are very optimistic about our prospects for the second half. Our fifth strategy for the pipe is growing our sponsorship base. We continue to improve our ability to develop national, multiplatform sponsorship deals with major corporations. We believe that the global sponsorship market continues to hold high growth potential for Live Nation. During the quarter, we executed on 623 sponsorship deals; and we remain on track to close over 1,000 deals in 2008. In this quarter, we closed a significant sponsorship deal in Ireland. The newly renovated Point Theater in Dublin has been renamed “The 02” and is expected to open in December. The venue was renamed as part of a strategic alliance with Telefonica 02 Ireland and was Ireland's first major naming rights deal. The third and new lever to our business model will become ticketing and fan retailing. We have made progress with our ticketing buildout and remain on track for our launch in less than five months. Ticketing will complete our transformation as an artisttofan direct relationship. The sale of our inhouse ticketing has increased 74% in the first half of 2008 as compared to last year.  To conclude, the concert industry remains healthy. The live concert industry has grown at a 10% compounded annual growth rate during the past decade, and we believe it will grow again this year. With artists relying more and more on touring for the majority of their earnings and motivating them to get of the road, Live Nation is positioned in the sweet spot for the first time in history. Our outlook is very positive. Our business is solid, our core performance is improving, our pipeline is full, and we're on pace to take over our ticketing operation in less than five months. Ticketing will complete our connection to the fan, and we believe it accelerates our growth profile for the benefit of our shareholders. I will now turn it over to Kathy, who will comment on the financials.
Kathy Willard: Before I begin reviewing our financial results, I would like to direct all of you to the second page of our earnings release, which contains a number of the key metrics related to our business for the second quarter and sixmonth period. These metrics include the number of music concerts and artist ancillary rights that we have secured, ancillary revenue per fan in our amphitheaters, total revenue per fan, and an update on our sponsorship initiative. We believe these metrics will provide better insight into our business and performance as we continue executing on our growth strategy. Also, we will now refer to our reportable segments as North American Music; International Music; Artist Nation, which we formerly called the Global Artist; and Ticketing, formerly known as Global Digital. Moving to our financial results, overall, our net income is $1.2 million for the second quarter as compared to $9.9 million for the same period last year. Without the $19.3 million in gains on sale of certain assets we made in 2007, our net income would show an increase this year, even while we were incurring additional costs related to our Ticketing rollout. During the second quarter, consolidated revenue increased $173.5 million, or 18%, compared to the same period last year. The increase was primarily driven by a $95.1 million increase due to strong amphitheater and arena events in North American Music, due to increased event attendance, invenue ancillary spending, and higher ticket prices. Acquisitions accounted for $123.9 million of this increase and includes $58 million from HOB Canada in North American Music; $28.6 million from AMG, DF Concerts, and Heineken Music Hall in International Music; and $37.3 million from Signatures and Anthill in Artist Nation. In addition, we benefited from an increase of $37.2 million related to foreign exchange movements, primarily in International Music. These improvements were partially offset by a $19.2 million decline in International Music, which is driven by timing of festivals in the UK and Belgium and the closure of the Point in Ireland for renovation, and also a $40.5 million decline in the volume of global tours for Artist Nation. The shift in timing of the festivals in International Music also impacts the comparability of the festival attendance quarteroverquarter. For the second quarter of 2008, our adjusted operating income was $58.4 million, an improvement of $17.8 million compared to adjusted operating income of $40.6 million during the second quarter of last year. The increase in adjusted operating income was primarily driven by a $5.7 million increase related to our acquisitions of HOB Canada in North American Music, AMG and Heineken Music Hall in International Music, and Signatures and Anthill in Artist Nation. We also had a $34.9 million improvement in North American Music operating results driven by strong amphitheater and arena due to increased event attendance, reduction in pershow operating costs, and also a reduction in fixed expenses related to legal and other cost reductions. Partially offsetting this increase was an $8.1 million decline in International Music due to the timing of festivals and the closure of the Point and a $6.2 million decline due to the timing of global tours and increased salary and consulting expenses related to building the infrastructure for our artist services business. In addition, we experienced a decrease in our other operations of $6.4 million for our nonmusic related events division, due primarily to reduced results related to nonmusic touring productions. We are in the process of selling or shutting down these productions. Operating income decreased 26.4% to $23.7 million from operating income of $32.2 million in the second quarter of 2007. This decrease in operating income was primarily driven by an $18.4 million decrease in gain on sale of operating assets, primarily due to gains recorded in 2007 on the sales of three music venues and an office building, partially offset by a loss in 2007 on the sale of a noncore asset. Also, we had an $8.9 million increase in depreciation and amortization expense due primarily to an increase in amortization expense for Artist Nation in tangible assets related to the acquisitions of CPI and various artist rights agreements. These items were partially offset by the previously discussed $17.8 million overall improvement in adjusted operating income. Moving to the sixmonth results. For the six months ended June 30, consolidated revenue increased $289.7 million or 19%, compared to the same period last year. The increase was primarily driven by a $110 million increase in North American Music due to strong results from arena tours and an increase in event attendance and average ticket prices at our owned and our operated amphitheaters and thirdparty venues. Acquisitions accounted for $201.2 million of the increase and include $94.9 million from HOB Canada in North American Music; $44.7 million from AMG, DF Concerts, and Heineken Music Hall in International Music; and $61.6 million from Signatures and Anthill in Artist Nation. In addition, we benefited from an increase of $54.1 million related to foreign exchange movements, primarily in International Music. These increases in revenue were partially offset by a $21.8 million decline in International Music driven by timing of festivals in the UK and Belgium and the closure of the Point in Ireland for renovation, a $17.8 million decrease in the volume of global tours for Artist Nation, and a $17.6 million decline in our other operations driven by the loss of revenues on a noncore asset sold last year and fewer productions and touring shows in our UK theater operations. For the six months ended June 30, our adjusted operating income was $56.4 million, an improvement of $18.5 million compared to adjusted operating income of $37.9 million during the same period in 2007. The increase in adjusted operating income was primarily driven by a $36.2 million increase in North American Music due to strong results from arena tours and an increase in events and attendance at our owned and our operated amphitheaters and thirdparty venues; and a reduction in pershow operating costs and a reduction in selling, general, and administrative expenses for other cost reductions; and a $9.9 million increase due to the acquisitions of HOB Canada in North American Music, AMG, and Heineken Music Hall in International Music, and Signatures and Anthill in Artist Nation. Partially offsetting these increases is an $11.5 million decline in International Music due to the timing of festival event days and the closure of the Point in Ireland, partially offset by increased promotion activity in the United Kingdom due to strong stadium events. And a $10.1 million decline due to reduced volume in global tours and increased salary and consulting expenses related to building the infrastructure for our Artist Nation artist services business. And $3.1 million of additional cost to build our infrastructure in Ticketing. In addition, we experienced a decrease in our other operations of $8.5 million for our nonmusic related events division due primarily to lower results related to these nonmusic touring productions. Our operating loss for the six months ended June 30 was $14.8 million compared to a loss of $4.6 million for the same period in 2007. This increase in the loss of $10.2 million was primarily driven by a $12.4 million decrease in the gain on sale of operating assets compared to the same period of the prior year due to gains recorded in 2007 on the sale of three music venues and two noncore assets and a $16.2 million increase in depreciation and amortization expense due primarily to increased amortization expense in our Artist Nation and International Music segments for amortization of intangible assets on the AMG and CPI acquisitions, along with intangible rights related to artist rights agreements. These decreases were partially offset by the $18.5 million overall improvement in adjusted operating income noted above. Turning to some other financial metrics, capital expenditures for the six months ended June 30 were $76.1 million which include $19 million of maintenance expenditures and $57.1 million of revenue-generating projects including the renovation of the Point in Ireland; the development of our HOB locations in Houston and Boston; the new AMG venue in Sheffield, England; as well as the cost of our ticketing rollout. Revenue-generating projects for the remainder of 2008 will include these HOB venue expansions, the Hollywood Palladium, the ticketing rollout, and AMG venue expansions in Brighton, Sheffield, and Leeds. We continue to expect that our total revenue-generating capital expenditures will be approximately $155 million for 2008. We remain focused on controlling maintenance capital expenditures and continue to expect total maintenance capital expenditures for 2008 to be approximately $30 million. As of June 30, 2008, our reported cash and cash equivalents balance was $453.4 million and our debt and preferred stock totaled $834.1 million. Free cash flow, which is adjusted operating income less net interest expense, cash taxes, maintenance capital expenditures, and net distributions and contributions with minority interest partners and nonconsolidated affiliates, was $25.7 million during the second quarter. For the full year, we continue to expect to generate modest growth in adjusted operating income and also expect to invest this growth back into our ticketing, digital ecommerce, and Artist Nation initiatives as we have previously stated. For 2008, as we previously noted, we expect our ticketing initiative to have an approximately $15 million negative impact to 2008 adjusted operating income. Given the progress we've made over the past two years and our current investment plans, we continue to believe that we will be in a position to deliver strong adjusted operating income growth in 2009 and beyond. With that, I will open up to questions.
Operator: (Operator Instructions) Your first question comes from Mark Wienkes with Goldman Sachs.
Mark Wienkes Goldman Sachs: It's clear to see improvement in the metrics on the core business this quarter. What are the risks that you see of that not repeating in the third quarter? And then on ticketing, you note in the release the Pemberton festival was ticketed internally. What are the data points you have that give you confidence that your company is on plan to roll that out in January?
Michael Rapino: On Q3, given it's already August and July is in the books and all the tickets are sold and people coming, we believe that Q3 will finish as strong as Q2 in terms of per head concessions and ticket sales. So we're confident that we'll deliver our plan and maintain those numbers for Q3. Ticketing on plan is, I like to remind people, we already do inhouse ticketing. Through our relationship with Ticketmaster, we do get to sell 10% of our tickets through a registered fan club mechanism. As I stated in my release, the good news is we have increased this year versus last year over 74% of the tickets that we are doing inhouse from last year. We've got full staffing in place in all of our venues and our box of offices. We know we do ticket already; we ticketed Bonnaroo, we ticketed Pemberton. We believe once we have this new software platform from CTS, the upgrades and the implementation, we'll provide all of the scale and resources we need to handle our full load next year. So we are fully on track on execution, cost and transition, and see no stumbling blocks right now.
Mark Wienkes Goldman Sachs: Is there any early look at the timing of the rollout for third-party ticketing?
Mark Rapino: Because of our scale, when you have figured out how to handle 20 million tickets of your own at Live Nation, adding a venue or two becomes the easy part. We would expect that when we're open for business for Live Nation, we'd also be open for business for some of the business partners that we're currently in business with, supplying them with 30 or 40 shows a year and having lots of those conversations already.
Mark Wienkes Goldman Sachs: Two quick followups for Kathy, is the 42% of your increase in concerts and the 14% bump in attendance pro forma for HOB and AMG, etc., or do you have a pro forma number?
Kathy Willard: I don't have the pro forma number with me, that is actual numbers.
Mark Wienkes – Goldman Sachs: And then the free cash balance. Last year was negative as well as this year. Can you just remind us how that works with respect to the covenants and how they look at free cash?
Kathy Willard: The free cash doesn't impact the covenants. Remember, free cash, at this point there's a lot of different revenue on the balance sheet. As we play out those events in Q3, then you would expect that to come more into cash flow.
Mark Wienkes – Goldman Sachs: And the actual calculation, you're able to use some of the cash that's on the balance sheet?
Kathy Willard: Yes
Operator: Your next question comes from David Joyce with Miller Tabak and Company.
David Joyce – Miller Tabak and Company: One of my questions was to clarify what's in the amortization of artist rights. What part of the rights would be paid up front that gets amortized over time?
Kathy Willard: It's the nonrecoupable portion.
David Joyce – Miller Tabak and Company: So, for example, something like a Jay-Z, what would a non recoupable portion be?
Kathy Willard: We haven't given out the individual on those artists. If there was a nonrecoupable portion paid up front, then we would amortize it.
David Joyce – Miller Tabak and Company: Generally, I think, you've talked about the billion dollars or so in buying the artist rights per year, so this $8.9 million figure, it's pretty immaterial?
Michael Rapino: Absolutely, that has been our point for a while that we are in the business of advancing artists for their concert rights. We do that every day. We pay in advance for whether it's the show in two months in Cleveland or whether it's the Coldplay tour, and the only difference is we've now extended those relationships to a longer period and have an advance schedule forward. But the net, upfront money is insignificant to the amount of money we advance on a daily basis for our core business.
Kathy Willard: That $8.9 million you're quoting includes intangible assets on regular acquisitions, too.
David Joyce – Miller Tabak and Company: Another question, I don't know if it's too sensitive, but are you seeing increased competition for artist rights or the larger 360 deals from the likes of your regular venue competitors or from Ticketmaster at this point like Frontline management?
Mark Rapino: We haven't, Frontline controlled by Irving, we would be his largest business partner. We have a very good relationship. Some of our biggest tours are Frontline tours, Jimmy Buffet this summer, Def Leppard, and Neil Diamond, etc. Frontline is just a great supplier to us. Ticketmaster, we would assume they'll stay if their core business of ticketing. We haven't seen anyone else approach any of these artists in terms of a touring longterm relationship.
Operator: Your next question comes from Alan Gold with Natixis.
Alan Gold - Natixis: I would like to followup on the competitive environment. You struck four of the 360 deals so far, are you seeing any competitive response out there?
Michael Rapino: I think the record labels are definitely talking to a lot of their younger artists, as they're signing artists, about increasing some of their share of the artist's pie. They're in that business and doing that, probably on a more junior-artist basis. But the artists that are established touring artists that we probably already have a longterm relationship with or looking to have one with, we haven't seen anyone step up into that plate.
Operator: I have a follow up question from Mark Wienkes with Goldman Sachs.
Mark Wienkes – Goldman Sachs: Can you talk to the mix shift in terms of concert or attendance per concert, does that continue through Q3? Is that mainly because of the acquisitions? And then the timing of the payback on the growth capital that you're throwing out there this year? Not throwing, investing, bad choice of words.
Michael Rapino: I will start with the second question and come back to the first. It's more black and white. As we stated this year, our goal was to invest fixed costs in our ticketing division. Staffing out, basically, to be ready to handle our load next year, somewhere in the $15 million range of additional fixed costs. All of our numbers, you could have added $15 million to the bottom line if you wanted to look at it on a pure basis. And about $20 million in capital, and we would assume that has a oneyear payback. We would be recouping all that and into money by the end of year one, which is why we chose this strategy versus a large acquisition strategy or an outsourcing strategy. The growth is incredible and the investment/payback is an incredible metric to be in the money after year one. Second, you said a mix of shows or mix of concessions?
Mark Wienkes – Goldman Sachs: Average attendance per show. Real quickly, on the growth capital with AMG, House of Blues, it's just the timing of when those opened and when you expect them to start contributing cash flow as well?
Kathy Willard: The Point will open the end of this year, we'll see that come in line strongly in 2009. Then the two House of Blues open the end of this year and beginning of next; and AMGs will open beginning of next year, so they all turn around pretty quickly.
Michael Rapino: And I think your question was, is the attendance, the revenue per attendance mix, is it organic. Is that the question?
Mark Wienkes – Goldman Sachs: The attendance is up 14% and concerts are up 42%, so it says that the attendance is at a lot more shows that are smaller in size.
Michael Rapino: Right.
Mark Wienkes – Goldman Sachs: Trying to see where you expect to continue and where you're taking the business?
Michael Rapino: I think it's a combination. We said for a while that the 0 to 5,000 seat venues seem to have had consistent growth for the last five years. And that's why we were looking to get into the House of Blues and the Fillmore business and the Heineken Music Halls to fill out our portfolio. The 10,000+ shows are the arena/amphitheater shows. Historically, they haven't been growing yearoveryear. But we have such a large market share our goal was really not to grow our market share on the larger shows, it was to buy the better shows and get out of some of the markets and some of the shows that weren't profitable. Our focus is about buying the right shows for our amphitheaters and arenas, and there's more than enough to fill our pipe. On the smaller 0 to 5,000 it was to increase our market share where there was a high growth potential there and a much lower cost to participate.
Mark Wienkes – Goldman Sachs: And just to confirm, the agreements in place with Nickelback and Shakira are similar to the earlier ones in that all the rights are crosscollateralized; the revenue all goes into one big bucket and then is divvied up at the end?
Michael Rapino: Yes.
Operator: Your next question comes from Dingli Chen with Marsico Capital.
Dingli Chen – Marsico Capital: Just talking about the 360 deals that you are signing, did I hear you right or did you basically say that the [EBITDA] you will get from these four deals that you signed it's basically going to equal your entire market cap.
Michael Rapino : The EBITDA will equal the market cap?
Dingli Chen – Marsico Capital: You're talking about the margins and the revenues for calculating the margin percentage off the deal percentage. If this is the total deal, I am getting basically your market capital.
Kathy Willard: Those are the numbers over the term of the agreement.
Operator: At this time, Mr. Rapino, there are no further questions.
Michael Rapino: Thank you everybody.
Operator: This concludes today’s second quarter 2008 earnings conference call.